Operator: Thank you for standing by, and welcome to the Telkom's Full Year 2016 Results Conference Call. [Operator Instructions] I must advise you that this conference is being recorded today, Tuesday, 7th of March 2017. I would now like to hand the conference over to your first speaker for today, Mr. Andi Setiawan, Vice President of Investor Relations. Please go ahead, Mr. Setiawan. Thank you.
Andi Setiawan: Thank you. Ladies and gentlemen, welcome to PT Telkom Indonesia Conference Call for Full Year 2016 Results. We released our results on the 3rd of March 2017, and the reports are available on our website, www.telkom.co.id. Today's presentation is available on the webcast, and an audio recording will be provided after the call for the next 7 days. There will be an overview from our CEO. And after that, all participants are given the opportunity to participate in the Q&A session. Before we start, let me remind you that today's call and the responses to questions may contain forward-looking statements within the meaning of safe harbor. Actual results could differ materially from projections, estimations or expectations voiced during today's call. This may involve risk and uncertainty and may cause actual results to differ substantially from what we discuss in today's call. Telkom Indonesia does not guarantee to any actions which may have been taken in reliance of the discussion held today. Ladies and gentlemen, it's my pleasure to introduce the Telkom's Board of Directors who are joining us today: Mr. Alex J. Sinaga as President, Director and Chief Executive Officer; Mr. Harry M. Zen as Finance Director and Chief Financial Officer; Mr. Abdus Somad Arief as IT, Network and Solutions Director and Chief Technology Officer; Mr. Honesti Basyir as Wholesale and International Services Director and acting Enterprise Business Services Director; Mr. Dian Rachmawan as Consumer Services Director; Mr. Indra Utoyo as Digital and Strategic Portfolio Director; and Mr. Herdy Rosadi Harman as Human Capital Management Director. Also present are the Board of Directors of Telkomsel: Mr. Ririek Adriansyah as President, Director; Mr. Heri Supriadi as Finance Director; and Mr. Edward Ying Siew Heng  as Training and Transformation [indiscernible]. I now hand over the call to our CEO, Mr. Alex Sinaga, for his overview. Please, Alex.
Alex Sinaga: Thank you, Andi. Good afternoon, ladies and gentlemen. Welcome to our conference call for the full year 2016 results. We really appreciate your participation in this call. Ladies and gentlemen, in 2016, Telkom recorded a remarkable set of results as we achieved triple double-digit growth, revenue grew by 15.5%, while EBITDA and net income grew by 15.7% and 24.9% year-on-year, respectively. The last time we had such triple double-digit growth was in 2007. We also successfully maintained a healthy level of profitability, with EBITDA margin of 51.1%, improved from 50.2% last year; and net income margin at 16.6%, better than 15.1% last year. Data, Internet & IT Services become the engine of growth. It jumped 28.2%, with contribution to total revenue reached 37.2%, significantly increased from 32.9% last year. On the other hand, we successfully managed our expense, which increased by 10.1%, lower than revenue growth, in line with manageable operation and management expenses. Operation and maintenance expense grew by 11.2%, in line with the continuous infrastructure deployment, both in cellular and in fixed line businesses in an effort to grow digital businesses. It accounts for 40.5% of total expenses. Ladies and gentlemen, in mobile businesses, Telkomsel once again delivered outstanding results as in 5 consecutive years. Telkomsel achieved triple double-digit growth. Telkomsel's revenue grew by 14%, while EBITDA and net income increased 16.9% and 26.1%, respectively. The result was driven by strong growth in digital businesses and healthy performance of its legacy businesses. Telkomsel's superior network, including for -- from Telkom Group synergy through collaborative network optimization project, was one of the key success factors. Digital businesses grew by 56.9%, with data increased by 56.6% year-on-year and digital services increased by 58.8%. In 2016, digital businesses accounted for 55.4% of total revenues, increased significantly from 29.5% a year ago, reflecting that its business transformation was on the right path. In legacy businesses, voice still increased by 10.1% due to strong traffic, while SMS experienced a decline for the first time of 3.3%. In blended business, we still maintain our legacy business revenue to grow by 4.5% as a result of successful execution of cluster-based pricing, innovative products and superior network quality and coverage. Profitability improved further, though it had been pretty high. EBITDA margin increased to 57.4% from 56%, while net income margin improved to 32.5% from 29.4% in 2015. The main driver of the margin improvement was successful cost efficiency resulting from group synergy services, what we call a [indiscernible] project. To maintain network quality and to ensure its business sustainability, Telkomsel continued to build infrastructure by installing more than 25,700 new BTSs during the year, with around 90% being 3G and 4G BTSs, reflecting our strong focus to grow digital businesses. At the end of 2016, total BTS reached 129,000, with 61% being 3G and 4G BTS. In terms of 4G LTE service, by end of 2016, Telkomsel covered 169 cities across Indonesia, supported by 6,362 BTSs. Lastly, Telkomsel gained more than 21 million new customers. Growth of our customer base grew to 173.9 million or grew by 13.9%. Ladies and gentlemen, in the fixed line businesses, by end of 2016, IndiHome Triple Play recorded total subscribers of 1,624,000. The figure was achieved in about 2 years after IndiHome was launched, which is a remarkable achievement even for a global standard. Last year, we started to enrich IndiHome with more content, including video streaming platform and attractive features, such as Movin', an Android-based application that allows subscribers to enjoy IPTV-based smartphone. We also launched IndiHome Netizen, which is a 2P product, consists of high-speed Internet and home phone, to gather a wider market segment. This year, we carried it to add around 1.3 million to 1.5 million new IndiHome subscribers. We also expected ARPU to improve by encouraging customers to sign up for higher broadband speed, offering various add-on content and exploring new revenue stream, including advertising. In the meantime, ARPU in the fourth quarter of 2016 was IDR 338,000 (sic) [ IDR 341,000 ], improved from IDR 313,000 in the previous quarter. Ladies and gentlemen, in enterprise market, our focus is on the provision of total end-to-end solution, from basic connectivity to various managed service for our client in corporate, SME and government institutions.  These integrated services are supported by our superior network in access, backbone and data center. Last year, our enterprise client consumed 2,524 gigabit per second bandwidth in service, with estimated 65% of traffic market share. We also started to tap business opportunity arising from changing trends in the market through implementation of CapEx-to-OpEx scheme in relation to ICT provision. On Smart City initiative, Telkom continues to provide broadband infrastructure and cloud-based solution to help the government to improve their service to the public. And by end 2016, Telkom implemented Smart City System in 219 cities in Indonesia. Ladies and gentlemen, we keep enhancing our IDN, Indonesia Digital Network, as the key foundation for our transformation process towards a digital telco company. In id-Access, during 2016, to complement fiber home mass, we added 213,000 WiFi access points that can help offload mobile traffic in an effort to maintain service quality of our mobile broadband customers. On the transport side, id-Ring, in the last quarter of last year, we completed Sulawesi-Maluku-Papua Cable System, we call it SMPCS, so that now, in total, we have more than 106,000 kilometers of fiber-based backbone network, connecting islands from Aceh in the west to the very east of Indonesia, Papua. While for id-Convergence, data centers that support cloud service and is integrated into Telkom Group network, we just completed a 20,000 square meter world-class data center facility in Jurong, Singapore in November last year. Ladies and gentlemen, as part of our expansion to be an international data hub, in December 2016, we completed SEA-ME-WE-5 with this 20,000 kilometers submarine cable system, connecting Dumai, Indonesia to Marseille, France. This cable system is owned by a consortium of several telco operators, including Telkom. We're also still constructing SEA-US submarine cable system, which stretches almost 15,000 kilometers from Manado, Indonesia to California, U.S.A. This cable system is scheduled to commence operation in the third quarter of 2017. To integrate those 2 submarine cable systems with our domestic network, we already started the construction of Indonesia Global Gateway cable system from Dumai to Manado. Ladies and gentlemen, we'd like to share with you a significant recent development. On 14 February, we successfully launched Telkom-3S satellite from Guiana Space Centre, Kourou, French Guiana. It carries 42 transponders, consist of 24 C-band, 8 extended C-band and 10 Ku-band. The satellite can cover all parts of Indonesia, Southeast Asia and some parts of East Asia. Telkom-3S was designed to provide high-definition television services, faster mobile communication and better Internet broadband services. With this satellite, Telkom can increase its capacity to serve customers better, including in Indonesia remote areas. Furthermore, next year, we are also going to launch another satellite with bigger capacity. Both these new satellites will have Telkom reduce its dependency on external satellite operators. Now let me provide guidance for the full year of 2017. With expectation of relatively stable competition in mobile space and continued expansion in fixed broadband businesses, we expect both Telkom and Telkomsel's revenue to grow better than industry rate. We estimate that the industry will grow at around 8% to 9% in 2017. EBITDA and net income margins are expected to slightly decline as Telkom is shifting towards a digital telco company with a higher proportion of revenue from Digital Business and continued strategy to enhance infrastructure. Capital expenditure for the group is expected at around 23% to 25% of revenues, with investment focused on mobile and fixed broadband infrastructure. That's ending my remarks. Thank you.
Andi Setiawan: Thank you, Alex. We will now begin the Q&A session. [Operator Instructions] Operator, may we have the first question, please?
Operator: [Operator Instructions] We have the first questions coming from Colin McCallum from CrÃ©dit Suisse.
Colin McCallum: A couple of questions from me. First of all, can I just confirm whether there were any sort of one-off items in the 4Q '16 numbers? And secondly, can you give some guidance on 2017, if there would be any one-off items, for example, early retirement charges that we should be expecting in 2017? Second question is just on IndiHome. Do you have any targets for rollout and for customers for 2017? And are you intending to continue what you've recently done in terms of focusing more on the higher ARPU customers? If you could give some color on that, it'd be helpful.
Harry Zen: It's Harry here. Thanks for the questions. So far, the one-off items in fourth quarter of 2016, we have a couple of them. First is they have the small part of ERP that we booked in the fourth quarter, which was around IDR 66 billion. And then there's also a special bonus paid to all the employees, amounted to around IDR 280 billion, given the excellent performance of the company. And we also booked the tax benefit arising from the asset revaluation of IDR 1.4 trillion. And in terms of IndiHome target in 2017, the new customers targeted are about 1.3 million to 1.5 million customers. And we are also working hard to further increase the ARPU, although the expectation would not be that high, particularly coming from new revenue stream, such as advertisement and some add-on features that were mentioned earlier by the CEO. For the ERP in 2017 -- yes, just one more. On the ERP on 2017, there is a plan to do it, but we haven't -- we cannot disclose the amount yet. But we expect the amount probably is going to be a bit smaller or at least not larger than 2016. Of course, this would depend on the company's condition later in the year.
Operator: We will now move to our next questions coming from Roshan Raj from Bank of America Merrill Lynch.
Roshan Behera: Three questions. First on guidance for 2017 on margins, you are suggesting a slight decline. Just trying to understand what would change in the cost items versus 2016, wherein you saw a margin improvement. Actually, the margin dropped in 2017, so that's related to guidance. Also, on dividends, what sort of payout should one look for in 2016? Any scope for special payouts? Some parts there will be helpful. Second question is on your views on competition and how it is evolving in Java and areas outside Java. Particularly when you look in areas outside Java, how will you defend your market position as competitors start targeting those areas going forward? The third question is on your subscriber trends in the fourth quarter. Any particular plan that was popular and enhanced the subscriber -- strong subscriber ads or it was just a function of active or aggressive marketing campaign during the quarter?
Harry Zen: Okay, thanks for the question, Roshan. On the margin, this is pretty much in line with the plan to be -- to have more and more of digital revenue. As you are -- you probably know, the data pricing is -- that the margin is pretty low on that one. So as we are having more data and digital revenue, that's why we expect the margin to be slightly declined. For dividend, I think the fair assumption would still be around 60% dividend payout, just like in the past 2 to 3 years, even though from the company's perspective, we don't have any objection whatsoever, just in case the government decides to ask for a larger dividend payout. So the last 2 questions will be responded by our colleague from Telkomsel.
Heri Supriadi: Heri from Telkomsel. First on the question on the competition in Java and outside Java, how are we going to defend our market position. First, and especially outside of Java, we continue to expand our reach, which is larger than our competitors. Second, we continue to increase the quality from time to time along with our investment. The third, we try to see the demand in the market to meet the demand side with our market offering. So we expect this will defend our position in the long run as we have that position right now. In Java, we believe, actually, each operator already has their market base.  It is not to follow one from another. But we see also the increase in smartphone penetration is quite high in Java. It is in -- bring the demand for the payload higher. So with focus to increase the quality and capacity, we still see the room of the growth for each operator.  With better and healthy competition, including the pricing, we believe this is going to bring value to anyone in this Java area. And then in the subscriber trend in fourth quarter of 2016, yes, we experienced quite a high increase in fourth quarter because of seasonal festivities in December. We have quite a significant increase in demand, so we provide a lot of tickets on this one. We believe this is quite seasonal. And I think that in the first quarter of 2017, the number is going to be stabilizing. And this, we expect also, will bring good increase of the payload demand on this.
Edward Ying Siew Heng: Roshan, this is Edward. I just followed to our CFO. I just want to say that we would differentiate whether it's in Java, outside Java in terms of quality of network because our investment can deal with our 4G network. We also differentiate to content, which is now putting 2 major contents, HOOQ and Viu, and use that to differentiate other than price; plus also other services, like now, we put on TCASH, our MFS service, mobile financial services; and M2M. And obviously, we need our dealer support to continue to push ahead against the competition. I think those are the things I add on.
Operator: We will now move to our next questions coming from Gopakumar from Nomura.
Gopakumar Pullaikodi: Sorry, I missed the early part of the call, so I'm not sure if these questions have been answered already; so apologies if they have been. So a few questions. Firstly, can you talk a little bit on the data monetization in mobile? It seems like on a price per GB, this has been coming off in double digits. So what are your thoughts on this in 2017? Currently, you are at some premium to excel in the side. But given the data focus, is it realistic to expect this premium to come down and narrow in 2017? Second, it seems like there is a lot of noise on competitors selectively looking at areas outside Java. Have you seen any traction on that? Your subscriber addition is quite strong. But in terms of your revenues, is there any traction that you've seen for your competition in those areas? Lastly, can you remind me why were the taxes lower in 4Q?
Edward Ying Siew Heng: Gopak, this is Edward Ying. Let me try to answer your question on data monetization. I think today, all the operators, especially now on 4G, are giving substantial bonuses airtime on 4G. In terms of street price, obviously, you see us very aggressive. But at the end of the day, the RPM and actually, the true value, we give free airtime on fringe hours. We also give packages on usage on Viu services. But our core access to Internet and core uses of data are still probably charged at a premium at least twice, if not more, than the competitors, as far as Telkomsel is concerned. So actually, we are actually monetizing. For that reason, also our network, if you notice, in most of the study in JPMorgan, we won in most areas being the top best network in terms of uplink and downlink. So we work -- we are still taking the proposition to continue to win enough subscribers. And that's one of the reasons in the last Q4, we had more subscribers than others. Now the competition is aggressive and pressured. I think they are continuing to be aggressive. I noticed the people are rolling out 4G. Not all of them are rolling out. One of the operators is quite aggressive, so we are actually watching them closely. We are also improving our own 4G blowout as well and also how to manage our digital content, so the system is bundled along. So I think I could answer that part. On taxes?
Harry Zen: Yes. Let me just clarify the questions again. You asked why the taxes were lower in the fourth quarter compared to the third quarter.
Gopakumar Pullaikodi: Yes.
Harry Zen: Okay. Yes. I think if you look at the -- on the full year perspective, there shouldn't be any unique trend. Now the fact was it is true that the net income slightly declined in the fourth quarter. But if you look at the -- in total, there shouldn't be any such unique trend.
Gopakumar Pullaikodi: Sorry, my question was on taxes, income tax. I can take it offline. So I had just a follow-up question on the data. So for 2017, are you expecting data pricing to come down further for Telkomsel?
Edward Ying Siew Heng: Gopak, this is Edward. I think it all depends on the competition, right? But so far, in watching the first 2 months, I noticed my competitor has started to withdraw bonuses. I think they have not dropped their price. So if they continue that way, then I think its good news. But I think you want us to be competitive anyway, right? So we will watch the competitor and see what they do, and then we will discuss with you in the next quarter. So far, like I said, in the first 2 months, I watch my competition, then be quite sensible. They withdraw some of their bonuses and they keep their price as it is.
Gopakumar Pullaikodi: So you don't think there is any real need to narrow the premium that is there currently?
Edward Ying Siew Heng: Not what we saw because we are still winning most on what -- or the best network in data, download and uplink. We are still continuing to roll out our 4G, so we think that we still can keep that premium. I do -- the competition -- I think -- we watch what the competition does.
Operator: We will now move to our next questions coming from Miang Chuen Koh from Goldman Sachs.
Miang Chuen Koh: A couple of questions from me. First is on Telkomsel. So we noticed some of the cost items actually rising quite significantly on a quarter-to-quarter basis, and this is in the 4Q. So I think you have explained a bit on the personnel expenses. But can you also talk a bit about cost of services that has went up, marketing, in particular, has went up as well, quite a lot more than what was seasonally observed in 2015? So can you describe what those marketing campaigns were and expectations for 2017? Second question is on margins for IndiHome. Is it possible you can disclose where the margins actually improved in the fourth quarter versus third quarter, given the increase in ARPU and higher subs? And if so, any numbers you can share and expectations for 2017, please?
Heri Supriadi: Mr. Koh, on the -- Heri Supriadi from Telkomsel here. On the cost side, I think you address to -- I will explain to you, first, on the personnel cost, yes, it did increase in the fourth quarter because -- or year-on-year. First, the number of employee also drive the cost. The second, also it is a performance-related cost because we already see that the performance is quite significantly higher compared to our target. So we're giving the bonus in line with their performance. Then thirdly, I think ERP in the fourth quarter is around IDR 150 billion [ph], just like the cost of personnel. In the marketing expenses, there are 2 drivers for this one. First, the marketing campaign for 4G, related to our efforts to try to encourage people using 4G. And then the second is in line actually with the performance, which is, as you can see, the growth in revenues is about 14%. Accordingly, the performance fee is supposed to be in line with that one. This combined altogether bring to the cost of the marketing in this, about IDR 20-plus [ph]. That's the situation.
Miang Chuen Koh: Sorry. So specifically, what kind of -- if you don't mind me jumping in here. I'm just wondering whether -- a bit more color on what exactly those marketing campaigns were and how they will actually translate into 2017? Will they continue?
Heri Supriadi: Well, no, this is -- we see that quite -- like I said, in fourth quarter of 2016, we see the opportunity, so we do some initiative on that one. We return back to the normal, I think, program in first quarter of 2017.
Harry Zen: Okay. Yes, on the second question, the ARPU of IndiHome increased to around IDR 240,000 by end of 2016. The margin is not as high as we expect, but we are still working hard to keep improving the margin. And the expectation for 2017 is the ARPU would be to increase a little bit, given the new revenue streams that we are introducing as part of the IndiHome package.
Miang Chuen Koh: Do we expect margins sort of to improve a bit in 2017 for IndiHome? And if it possible, any sense of where those EBITDA margins may be?
Harry Zen: We still don't disclose the EBITDA margin per se. But along with the improvement in ARPU, of course, we expect the margin would be improved as well.
Operator: We will now move to our next questions coming from Hussaini Saifee from Citigroup.
Hussaini Saifee: Three questions from me. Firstly, on the dividends. So you are expecting the full year dividends -- you are saying -- you said that the full year dividend would be 60%. So will it be including of the interim dividend you paid earlier or it will be on top of that? That's question number one. Second question is on the CapEx breakdown for FY '17. So is it possible for you to guide how much you will spend on Telkomsel and on the fixed line? Third question is on the IndiHome subs additions. So 1.3 million to 1.5 million additional subscribers, will it be through upgrading the existing ADSL subscribers? Or will you get new subscribers from the competitors or the new additions? And just finally, on the spectrum auction. So what's your thoughts on the spectrum auction in FY '17? Is it possible or will it drag to 2018?
Harry Zen: Okay. So the dividend, the 60% figure I mentioned earlier was sort of like a safe assumption, and it would include the already paid dividend interim from last year, from end of 2016. But then again, if the government decides to -- for us to pay higher than that, then we have no issue with that. For the CapEx breakdown, about 50% to 60% of our CapEx this year would be for mobile and mobile-related business; and for fixed line, around 20% to -- around 25% to 30%. And then for the additional subscribers of IndiHome, roughly it will be 50-50, from upgrading the existing ADSL customers or subscribers and from the adding new customers from competitors. And on the spectrum auction?
Ririek Ardiansyah: Hussain, this Ririek from Telkomsel. On the spectrum auction, last week, the government just published a public consultation paper, and we did respond to the paper with our own feedback. And we expect that the auction will be held sometime in Q2.
Hussaini Saifee: Okay. Just on the CapEx, so 50% to 60% on mobile, 25% to 30% on fixed. Where will you spend the remaining portion?
Harry Zen: For our other businesses, including for recapitalization of our subsidiaries and powers.
Operator: We will now move to our next questions coming from Wei-Shi Wu from BNP.
Wei-Shi Wu: Firstly, on the 2016 CapEx, I couldn't find the breakdown of the CapEx into Telkomsel versus Telkom. So can you provide the breakdown, please, for 2016? And is there any -- I know there is a total CapEx number provided. Does that include the intangibles? And if it does, then what is the intangible number for 2016? And then the other question related to this is the CapEx has been increasing over the past couple of years, but you've actually managed to keep your depreciation and amortization flat in 2016. So can you provide a little bit more detail as to what was happening there and what we can expect going to 2017, please?
Harry Zen: Okay. The breakdown of CapEx in 2016, for Telkomsel, around 41%; and for Telkom itself, around 37.5%; and for other subsidies, around -- the remaining amount, about 20%, 21%. Oh, okay. So the flat depreciation that we saw was basically because there was an accelerated depreciation in 2015 related to the Flexi products. So if we take that out, the depreciation in 2016 would have been increased.
Wei-Shi Wu: And just a follow-up on my first question. The IDR 29.2 trillion CapEx number in 2016, does that include the addition of intangibles? And can you provide the 2016 additional intangible number?
Harry Zen: No, it doesn't include that.
Wei-Shi Wu: Would you have the number offhand or should I follow up later on offline?
Harry Zen: Yes, we will follow up offline later.
Operator: There are no further questions at this time. Mr. Andi, please continue.
Andi Setiawan: So Jasmine, is there any more question? Is there any more question, Jasmine?
Operator: We have one more question from the line. We have the line coming from Fraser Smith from JPMorgan.
Fraser Smith: Fraser Smith here from JPMorgan. Can you quickly explain what led to the significant increase in other expenses and the decrease in other income, please?
Harry Zen: Yes. Mainly, it came from a couple of things. First is there was a VAT tax that we have to pay, around IDR 667 billion in the fourth quarter. And there was also the difference between the realization of the sale of scrap copper from 2016 and 2015. So those are -- those were the 2 factors.
Fraser Smith: And do you have the amount -- so the majority of the other income is from the sales of scrap copper in 2015. Is that correct?
Harry Zen: Yes. I think the amount is, from the scrap copper, is around 600 -- around IDR 600 billion, about IDR 660 billion difference.
Operator: [Operator Instructions] We will move to our next questions coming from June Supa from Goldman Sachs.
June Supapannachart: I just had 2 questions. So firstly, I wanted to follow up on the 2016 CapEx. What percentage did you say is for Telkomsel versus Telkom? I just didn't hear it really clearly. And then also, secondly, just wanted to ask, like, whether what trend you're expecting for legacy revenues going in 2017, particularly voice? Like, do you expect a decline or do you still expect to be able to defend that next year?
Harry Zen: Okay, just one second. Okay, for Telkomsel, it was 41%; and for Telkom, it was 37.5% in 2016.
Heri Supriadi: Okay. And second question, on the -- for legacy revenue, what is the trend for 2017. As you see, it was mostly coming from voice and SMS. In voice, we believe we can sustain the revenue as we achieved in 2016 by continuing to see the seasonal opportunity and partial monetizing. In the SMS, we really actually also experienced in the last few years that the SMS traffic already declined about 16% per year. We believe that the trend will continue. To some extent, we've tried monetizing it to manage the decline to achieve our target. That's the situation of legacy. Definitely, we see the opportunity coming from the connection, which is from broadband on Digital Services, as mentioned by my colleague, Edward Ying.
Operator: We will now move to our next questions coming from Henry Wibowo from Bahana.
Henry Wibowo: I have a couple of questions. Firstly, on IndiHome, can you share the geographical breakdown of the expansion of the 1.3 million to 1.5 million new customers? Is it going to be mainly in Greater Jakarta or in other cities as well? And secondly, do you mind commenting on the recent news that KPPU is investigating on the monopoly allocation on the bundling that -- between Telkom's fixed line and IndiHome, the triple play?
Harry Zen: On the geographical breakdown is we go pretty much across Indonesia, so there's no like specific target that we purposely set out. On the second question?
Heri Supriadi: Yes, Pak Henry, according to the KPPU investigation, now it's undertaking in progress now. But I apologize, we cannot disclose any confidential material here. Thank you.
Operator: We will now move to our next questions coming from Wei-Shi Wu from BNP.
Wei-Shi Wu: So on the 2016 CapEx question earlier, so if I assume that 40% of 2016 CapEx was spent at Telkomsel that would have implied quite a big drop in year-on-year CapEx for the mobile business. So was there anything -- I mean, what was the driver for the big drop in CapEx? And is that a trend that we should continue to see going into 2017?
Heri Supriadi: Okay. On the Telkom side, it is -- Telkomsel side, there's no decline in CapEx. We spent about IDR 13 trillion last year. For this year, we spent about IDR 12.9 trillion also. It is similar to the previous year's numbers, so it is not jumping at all. And you also can see from the result, last year, we did 25,000 plus of new BTSs. So I think we still commit to the investment.
Wei-Shi Wu: The CapEx intensity has dropped also. So it was IDR 13 trillion in 2015, would have been about 17%. And then at IDR 12 trillion, it's closer to 14%. So can we expect the intensity to continue to drop off in 2017?
Heri Supriadi: I think the difference is only on the price per unit of the BTS and so on, as we also have the, from time to time, the competitive price depending on the market price of the BTS. I think the number that drives for us is capacity, quality and corporates that bring us to the CapEx commitment. We can spend at least similar numbers. And even if there's opportunity, we can increase the number, so there's no decline in commitment. And in fact, any opportunity, we will take it.
Operator: We will now move to our last question coming from  Muhammad Fariz from Kresna Securities.
Muhammad Fariz: I just have one question. What kind of strategy that will Telkom apply to maintain for its revenue? Do you expect to increase the pricing on the voice or how?
Harry Zen: Well, perhaps, I can start on the fixed line business first. I think we will continue to monetize the existing homes-passed to add more customers. And at the same time, we are also implementing cost efficiency programs on the fixed income business -- on the fixed line business. And at the same time, we are introducing new revenue stream from advertisement, from added features and so on.
Heri Supriadi: Okay. I think I can add some more color on this one.  There is a concern. As you may be aware, actually, the data consumption in Indonesia compared to our peers in the region now is still relatively low. And also, the increase in network, like we experienced last year, 95% year-on-year. This year, also, maybe even higher the growth. We still see that opportunity, which was driven by the penetration of the smartphone. And also, I think, a more young population you're seeing with the smartphone, this has increased also the need for the data. We believe the data will be the main driver for the revenue growth. We will try optimizing the opportunity, along with price also, as explained before, to monetize this data growth, becoming the right source of the revenue sustainability. And also...
Edward Ying Siew Heng: This is Edward. Just to add on. I think, basically, we are saying that today, data is still -- Indonesia is a big country. Data access -- access to Internet is very important. And more and more people go online, whether whatever purchases, whether it's SME or whether it's individual. So we believe data consumption can go up, firstly. The usage year-on-year growth is 100% anyway. So we will see that as a good avenue to increase our revenue. More importantly, if the competition is not aggressive on prices, and then I see a big increase comp of data revenue. And obviously, we're also building new additional content versus -- for example, we hope our customer buy one movie a month, we will get some new revenue from that. In addition, we are looking at mobile financial services on transaction. Today, it's a small business. But over time, I think it will pick up. The other avenue we are looking at is end-to-end big data where we can grow some revenue. Initially, again it will be small, but over time, I think it will be a new growth engine for us. That's all I can add.
Andi Setiawan: Jasmine, so can we end the Q&A session?
Operator: Sure. We will now hand over the call back to you, Mr. Andi. Thank you.
Andi Setiawan: Thank you, everyone, for participating in today's call. We apologize for those whose questions could not be addressed here. Should you have any further questions, please do not hesitate to contact us directly. Thank you, everyone.
Operator: This concludes today's call. Thank you for your participation. You may now disconnect.